[speaker 0]: Thank you for your continued patience. Your meeting will begin shortly. And a member of our team will be happy to help you. Please stand while your meeting is about to begin. Welcome to the Post Holdings Fourth Quarter twenty twenty five Earnings Conference Call and Webcast. At this time, all participants have been placed on a listen only mode. Lastly, if you should require operator assistance, star zero. I would now like to turn the call over to Daniel O'Rourke, Investor Relations for Post.
[speaker 1]: Good morning.
[speaker 2]: You for joining us today for Post's fourth quarter fiscal twenty twenty five earnings call. I'm joined this morning by Rob Vitale, our President and CEO. Jeff Zadix, our COO and Matt Maynard, our CFO and Treasurer. Rob, Jeff and Matt will make prepared remarks and afterwards we'll answer your questions. The press release that supports these remarks is posted on both the Investors and the SEC filings portions of our website. And is also available on the SEC's website. As a reminder, this call is being recorded and an audio replay will be available on our website at postholdings.com. Before we continue, I would like to remind you that this call will contain certain forward looking statements, which are subject to risks and uncertainties that should be carefully considered by investors, as actual results could differ materially from these statements. These forward looking statements are current as of the date of this call and management undertakes no obligation to update these statements. This call will discuss certain non GAAP measures. For a reconciliation of these non GAAP measures the nearest GAAP measure, see our press release issued yesterday. And posted on our website. With that, I will turn the call over to Ron. Thanks, Daniel, and good morning, everyone. We had a good FY 2025 and we ended with a strong quarter.
[speaker 1]: It was interesting
[speaker 2]: year as we navigated regulatory changes tariffs,
[speaker 1]: avian flu,
[speaker 2]: and uncertain consumer sentiment. Despite this challenging environment, our portfolio of businesses displayed resilience and delivered strong results. We expect that the benefits of our diversification will allow us to navigate an environment of continued uncertainty. We expect to continue volume growth in our foodservice business especially in our highest value products.
[speaker 1]: In retail,
[speaker 2]: we remain disciplined in the face of a very challenging
[speaker 1]: volume landscape.
[speaker 2]: Keeping our focus on cost reduction and profitable brand investments. Jeff and Matt will provide detail on our FY twenty six outlook. But we will focus on what we can control and from that perspective
[speaker 3]: I like our positioning. I expect foodservice to provide volume growth and our retail businesses to generate considerable cash flow to fund both organic and inorganic opportunities. In that vein, a highlight of FY twenty twenty five was our strong operating cash flow which allowed us to maintain flat net leverage while making key capital investments completing two tactical acquisitions and buying back over 11% of the company. With a step down in capital spending and the benefits from the new tax law, we expect a meaningful increase in FY 2026 free cash flow. Coupled with our long dated debt maturity ladder we can be opportunistic with our capital allocation decisions. Continue to review M and A opportunities. And we benchmark them against buying back our own shares. I would like to thank all of our employees for another successful year. The strength and diversification of our operating model combines with dedicated employees give me a great deal of confidence in continuing our track our track record of value creation. Before I turn the call over to Jeff, I want to make a personal comment. Bill has been a mentor business partner and friend for nearly thirty years. I expect that to continue regardless of titles. Jeff? Thanks, Rob, and good morning, everyone. We delivered strong consolidated results in Q4 Our cold chain businesses did a fantastic job in navigating HPAI. In addition, across the entire portfolio, cost reductions and manufacturing execution combined to more than offset the impact of lower retail volumes. At Post Consumer Brands, our branded and private label cereal businesses experienced consumption declines resulting from challenging category dynamics. In pad, our volume consumption was down versus a flat category driven primarily by Nutrish. As a reminder, we are adjusting the value proposition and messaging for this brand changes to be in market by the end of fiscal Q2. A bright spot in Pet was Kibbles and Bits, had a strong consumption volume versus the prior year. Spite of the volume challenges, we were successful in growing our consumer brands EBITDA margin excluding eighth Avenue. By 100 basis points driven by improved mix in cereal, and strong cost management across the segment. Our upcoming cereal plant closures will further help to alleviate the impact of cereal category declines. Setting aside HPAI, foodservice had strong underlying performance driven by growth in both egg and potato volumes. While a portion of Q4 egg volume growth was related to timing from improved egg availability customer inventory replenishment we continue to see strong demand in particular for our higher value added products. Volumes for these higher margin egg products grew nearly 9% in the quarter and approximately 6% for the full year. Our HPAI impacted egg supply came back online as expected in Q4 allowing us to continue gradually winding down pricing adders. As we enter fiscal twenty twenty six, we are well positioned to continue the normalized growth trend in this business. In Refrigerated Retail, dinner sides grew volumes in the quarter driven by targeted promotions and new label offerings that began shipping toward the end of the quarter. Private label offerings are expected to to contribute low single digit volume growth in FY 2026. Segment profitability had some continued tailwinds from HPAI pricing matters again this quarter. At Weetabix, our flagship yellow box product consumption performed in line with the improving cereal category which was down less than 1%. The noticeable improvement in The UK cereal category over recent quarters is an encouraging trend. Meanwhile, we continue to execute against our identified cost out opportunities as we consolidate our private label production resulting in a plant closure in mid fiscal year. Turning to FY 2026, have planned for a more normalized environment in our cold chain businesses as we begin the year with Ag supply back in balance, allowing us to focus on driving volume growth in both foodservice and refrigerated retail. For the balance of our portfolio, we're projecting some improvement in the silver category as we lap certain FY 2025 pressures However, we do not expect a full return to historical trends. To support volumes across the entire company, we will make targeted investments including innovation where we see profitable opportunities. However, as Rob mentioned, we remain focused on protecting margins and our strong cash flow. With that, I'll turn the call over to Matt.
[speaker 2]: Thanks, Jeff, and good morning, everyone. Fourth quarter consolidated net sales were $2,200,000,000 and adjusted EBITDA was $425,000,000 Sales increased 12% driven by our acquisition of eighth Avenue. Excluding the acquisition, net sales declined driven by lower pet food and cereal volumes partially offset by avian influenza driven pricing and egg volume growth. Turning to our segments, Post Consumer Brands net sales excluding the contribution from eighth Avenue decreased 13% driven by lower cereal volumes decreased 8% due to category and competitive dynamics. At Pet, our volumes declined 13% driven by lost private label business we mentioned last quarter and we are continuing to experience consumption declines as we reset our Nutrish brand. Segment adjusted EBITDA increased 2% which includes a $20,000,000 contribution from eighth Avenue. Excluding eighth Avenue, adjusted EBITDA decreased 8% versus prior year as the impact of lower volumes were partially offset by improved cost management. Especially in SG and A. Moving to Foodservice, net sales increased 20% on both pricing and an 11% volume increase. Excluding the impact of our PPI acquisitions, volumes increased 9% on higher egg, potato and shake volumes. The increased volumes and avian influenza driven pricing drove the revenue increase. Adjusted EBITDA increased 50% driven by avian influenza driven pricing and the previously mentioned volume growth in our value added egg and potato products. Refrigerated Retail net sales were flat volumes excluding the impact of PPI fell 4%. The volume decline was driven by sausage and eggs which experienced elasticities due to pricing to offset input cost. Segment adjusted EBITDA increased 44% benefiting from avian influenza pricing adders and lapping some elevated SG and A costs in the prior year. Weetabix net sales increased 4% versus the prior year Foreign currency represented a tailwind of three sixty basis points. Overall, volumes decreased 3% as our core yellow box product volumes declined by 6%. Offset by volume growth in UFID, which was up 41% versus the prior year. Segment adjusted EBITDA increased 1% versus prior year due to current currency tailwinds, partially offset by lower volumes and increased inflation driven costs. Turning to cash flow. In the quarter, we generated $3.00 $1,000,000 from operations. Our free cash flow for the quarter was approximately $150,000,000 as we invested in key projects in both PCB and foodservice businesses. Free cash flow for the full year was nearly $500,000,000 driven by strong operating cash flow net of elevated CapEx. In the quarter, we repurchased 2,600,000.0 shares bringing our fiscal twenty twenty five total repurchases to 6,400,000.0 shares. We are active in share repurchase following the end of quarter, by net leverage in accordance with our credit agreement ended the fiscal year at 4.4 times relatively flat to how we began the year. Before we get to Q and A, I have a few comments on our fiscal twenty twenty six guidance. As stated in our earnings release last night, including two months of pasta contribution, we expect our FY twenty twenty six adjusted EBITDA to be in the range of $1,500,000,000 to 1,540,000,000.00 This range reflects approximately a 1% to 4% growth rate to a normalized FY twenty twenty five. Relative to FY twenty twenty five Q4, we expect Q1 adjusted EBITDA to decrease meaningfully driven by HPAI normalization and seasonality declines in U. S. And UK cereal partially offset by seasonality benefits in refrigerated retail. The full year, we expect second half favorability to the first half. Finally, CapEx guidance of $350,000,000 to $390,000,000 is down notably from FY 2025 as we completed key investments within PCB and foodservice. FY 2026 will continue to see elevated spending in foodservice we invest behind growth for both precooked and cage free. Thank you for joining us today and I'll now turn the call over to the operator.
[speaker 0]: The floor is now open for questions. Our first question comes from Andrew with Barclays. Please go ahead. Your line is open.
[speaker 2]: Good morning. Thanks. Morning. Thanks so much. Maybe Rob, to start off, we've certainly seen industry volume remain sort of challenged. We can see some of that reflected in your PCB segment in Cereal and Pet. You've been aggressively buying back your own shares in lieu of, I guess, more interesting portfolio opportunities. The last time valuations in the group were really under this much pressure was sort of the late 90s and the group got out of it through larger scale M and A. Perhaps this time is different. I think some investors maybe see the the current weaknesses maybe more structural rather than cyclical. And I guess I'm curious how this dynamic sort of informs your capital allocation decisions? And is M and A still the right approach given how cheap assets are? Or is buying back stock at these levels more sensible if one believes the terminal growth rate of potential acquisition candidates is simply lower going forward? I guess what I'm asking is, this represents another buying opportunity in the space like the late 90s or is it somewhat different?
[speaker 3]: Well, if the ultimate question is it structural or cyclical, I think you have to tell us how long the cycle will last. I think it's different in the following manner. I think the big difference is the cost of capital has changed dramatically. We've been a long term decline. And now we're in what could be an inflection point where we see more increased pressure than decrease. And I think that starts to develop the strategy. And I think in lieu of a reflexive position of we're just going to use M and A to get bigger It needs to be a little more thoughtful and perhaps a little bit more focused around focus. That we can look at opportunities to be better rather than just bigger. That sounds a little bit cliche, but I think it's true. Where we have opportunities to
[speaker 1]: be
[speaker 3]: more focused in some area that I think we should take them. And where there are opportunities to be more efficient in other areas we should take them. From our perspective, don't necessarily differentiate between M and A and buybacks. What we try to do is compare them from a potential return perspective and a risk perspective. And then compare them.
[speaker 2]: So
[speaker 3]: we really don't look at it and say, if we buy back shares, we're going to shrink or or look at our multiple different we look at that and say, what is the best just risk return adjusted way to use our capital?
[speaker 2]: Great. Thank you for that. I know on the last earnings call, I think you talked about all the asset optimization efforts, right, that you're undertaking in in ready eat cereal. That those could kind of get plant utilization maybe back up to around the mid-80s? But that the cereal category continued to be weak or below its historic rate. Of decline, maybe further actions on the cost side sort of would be need to be considered? And I guess I'm curious what sort of actions could we be talking about? And maybe are you considering any additional ones given I think your comments in the prepared remarks? That were don't see the category in fiscal twenty twenty six necessarily getting back to its what's been its longer or historical rate of decline? Thanks so much.
[speaker 3]: Certainly there are additional opportunities we can take on cost reduction. But I think the magnitude start to get smaller as the bigger things like plant closure have occurred. So we are looking at things like line optimization rather than plant optimization. So they continue to be good opportunities, but we've obviously taking the larger ones first.
[speaker 2]: Thank you.
[speaker 0]: And we'll move next to Tom Palmer with JPMorgan. Please go ahead.
[speaker 3]: Hey, good morning, thanks for the question. You have normalized guidance in
[speaker 2]: I guess maybe thinking through those segments for fiscal 'twenty six, which ones do you kind of see as being more consistent
[speaker 3]: with that normalized outlook after we adjust for M and A in AB and Flu?
[speaker 2]: And maybe which ones are light? I mean, I know there was the PCB commentary, kind of curious, I guess, in the other areas.
[speaker 3]: Thank you.
[speaker 2]: Sure. So I think when we look at the PCB legacy business, we see that as more flat So not growing the 2% we have in our algorithm this year given what we've got going on in cereal but also the nutritious reset that won't take place till mid year. And in the balance of the portfolio honestly we see in line with those algos. Okay. Thank you for that. And I guess a follow-up on the agos. A quarter ago, talked about
[speaker 3]: in foodservice around $115,000,000 EBITDA.
[speaker 2]: Being like a normalized run rate.
[speaker 3]: We have seen real volume strength in that segment. And and I appreciate
[speaker 2]: why is one fifteen still the right number? Or or should we be thinking about something maybe a bit
[speaker 3]: higher to start out the year?
[speaker 2]: No. I mean we think 115,000,000 is the right number and that was really benchmark we put last quarter and I that's how we think about fiscal twenty twenty five. I think fair to assume that grows in line algo for fiscal twenty twenty six by the end of the year would be obviously something more like one and twenty But again, I think we talked about it last quarter as well. We would to have a quarter or two of some normalcy so we can get a better read on that As you pointed out, there's a lot of noise with AVEN in influenza definitely had some catch up this past quarter with customer inventory levels the past year had some avian flu, but given some of the challenges with AI. But really do see the base business continue to perform quite well. So think we'll revisit in another quarter, but how we benchmark normal normalized run rate was against that 115,000,000 and then growing 5% in fiscal twenty twenty six. Great. Thank you.
[speaker 0]: We'll go next to Matt Smith with
[speaker 1]: Stifel. Please go ahead.
[speaker 2]: Hi, good morning. I wanted to ask about the performance in Refrigerated Retail. You had a nice 20% EBITDA margin in the quarter. But you called out some AI pricing benefits there. As we look forward, is this a business that's on solid footing to maintain a kind of a high teens EBITDA margin in a normal environment? Sure. So we definitely similar to foodservice, but on a much smaller scale, we had some pricing benefits that fell away at the end of the quarter. So that was a little bit inflated because of that, but we are seeing better performance and better volume performance around private label, which is improving capacity utilization. I think with that said in the holiday season for them, we've always had
[speaker 4]: significant seasonality. I think high teens is reasonable when you talk about those periods. In our slower part of the year, you're going to return to more call it 16% or so margins. It's not going to be a high teens.
[speaker 2]: Thanks, Matt. And Rob, as a follow-up to some of the commentary about the industry, we are seeing private label trends vary across post categories. Gaining some share in pet categories while having a softer performance in the cereal category currently. Is there anything to read through in terms of category by category how are trading down into private label? Any observation you have, whether it's price gap dependent or really category dependent? Thank you.
[speaker 3]: You took the words right out of my mouth. It's really priced GAAP dependent. We're starting to see consumers be a little bit more gone to promotional activity and it moves inversely to that.
[speaker 0]: And our next question comes from Scott Marks with Jefferies. Please go ahead.
[speaker 2]: Hey, morning. Thanks so much for taking our questions.
[speaker 4]: First thing I wanted to ask about in the prepared comments,
[speaker 5]: you mentioned making targeted investments in 2026 with some innovation potential. Just wondering if you can kind of share some details about how you're thinking about some of those investments and maybe what categories you would like to invest in? And anything else you can comment on that.
[speaker 1]: Thanks.
[speaker 3]: It's the typical type of investment for
[speaker 5]: brand
[speaker 3]: innovation that you have seen historically. We took a pause on some of those during the pandemic and it's been something that we haven't been quick to renew in last couple of years, but it's going to be line extensions in in really every retail category So in cereal as an example, we're going to bringing some protein products We're going to be bringing some granola products which are areas of the category that are more
[speaker 2]: that are
[speaker 3]: growing better than the rest of the category.
[speaker 5]: But you're going to see that sort of thing in our
[speaker 3]: refrigerated retail business as well And in Pet, a lot of that is directed towards the Nutrish re launch
[speaker 5]: although we'll see some smaller innovations in
[speaker 3]: some of the other brands as well.
[speaker 5]: Got it. Thanks for that. Next question for me, as we look at the foodservice business and some of the the demand for some of those value add products, sounds like you're expecting some of that momentum to sustain as we get into next fiscal year. Maybe what gives you confidence that that some of your operator partners will continue to continue to demand these products at these high levels and just any comments you can share about the overall backdrop for your operators right now?
[speaker 3]: So there's a couple of things we would point to. One is it really a long of that business moving customers up the value chain. So starting from lower value added products moving them up to higher value added products and the value proposition that they see when doing so It's a function of the labor dynamic in their operations when they move up the value chain. So that's been a
[speaker 5]: multiyear, almost decade long maybe multi decade long trajectory of the category, which we don't see any slowdown in that happening. The one more unique perhaps unique situation with avian influenza and the pricing that has the pricing dynamic that has been caused by that in chilled eggs
[speaker 3]: has caused some customers to convert to liquid eggs, the ones that are able to convert. Because over this period of time liquid eggs have been less expensive than shell eggs. What we have seen in the past probably on a smaller scale than what we've seen this last cycle is that there's some stickiness to people who have converted to liquid eggs initially just for the pure price play.
[speaker 5]: Because they find that the efficiency in their operations is such that even if the prices are more competitive with one another between liquid and shell eggs, that they find efficiencies
[speaker 3]: in remaining with liquid eggs.
[speaker 5]: So we have some belief that
[speaker 3]: given what we've seen over the last twelve to eighteen months,
[speaker 5]: that the stickiness of those customers that have converted will continue. Thanks so much. I'll pass it on.
[speaker 0]: We'll go next to Michael Lavery with Piper Sandler. Please go ahead.
[speaker 4]: Thank you. Good morning.
[speaker 3]: Hey, Mike.
[speaker 5]: Just on Pet can you maybe unpack some of the the key moving parts there? And maybe just remind us the cadence of some of the private label cuts and distribution losses or the co man cuts and when you lap those and just how to think about the puts and takes through the year?
[speaker 4]: Sure. So a year ago we were working our way through fiscal twenty twenty five through some profit enhancing decisions we had made and we've fully lapped those as we exited '25. So in '26, what we've yet to lap then as we developed during 2025 as we lost some private label business We continue to pursue opportunities there, but we won't lap that until we get to the midpoint of the fiscal year. So I think as we think about the business and the volume trajectory first half of the year see really more down mid to high single digits. And then as we get to the midpoint of the year and Nutrish is on shelf and we lap that private label loss. We'd be back to more flat to maybe some slight growth year over year.
[speaker 2]: Okay, great. That's helpful. And then
[speaker 5]: you touched on some of the price gaps. Maybe just specifically for cereal, can you us understand what you're seeing there? How rational does pricing seem? And maybe any sense of why you're not seeing a little bit more benefit from trading down?
[speaker 3]: We've had some pretty competitive pressure in promotional activities over the last several months. They seem to be changing And I think it's no more complicated than that as some of our competitors have been more promotional. The private label offering been less competitive.
[speaker 1]: Okay.
[speaker 0]: We'll go next to Mark Turrente with Wells Fargo Securities. Please go ahead.
[speaker 5]: I guess first on the EBIT bridge and to
[speaker 2]: 26, any changes to your underlying assumptions for the go forward ASAP new business I think you previously called out 45,000,000 to $50,000,000 EBITDA annualized plus the $15,000,000 synergies exiting the year.
[speaker 5]: And then any color on contribution baked in for the
[speaker 2]: business for the first quarter top line and EBITDA?
[speaker 4]: Sure. So no change to the outlook. The 40 to 50 is how we think about the contribution in fiscal twenty twenty six. And then do have confidence in getting to a run rate and synergies by the end of the year. It's going to take some time all that's going on there. And then in terms of the pasta business in Q4, we called out about $20,000,000 contribution from 8th Avenue, so a little under the run rate obviously About half of that was pasta. So again, we're expecting just two months of pasta contribution this fiscal year. So two thirds of $10,000,000 before we close on the transaction in December.
[speaker 2]: Okay. Thank you. And then just a little more on the volume trends in core grocery. Any color on progress through the quarter and how things have trended into the first quarter, have you seen any incremental pressure perhaps from SNAP,
[speaker 5]: And then just what's factored into your outlook for this year?
[speaker 4]: Yes. So I think what we factored in is fairly conservative. Again, think we believe there's we'll see some category improvement as we lap some challenges in the back half of of next year given some of the fiscal 'twenty six, I should say, given that some of the challenges we saw with Maha and other things that happens. In the spring. But we're not calling for a category getting back to normal in the back half of the year. So some marginal improvement year over year is really what we have. And I think Q1 and Q2 looking a lot like what we saw in Q3 and Q4 and then seeing some improvement in Q3 and Q4 is what's baked in our guidance.
[speaker 1]: Okay. Thank you.
[speaker 0]: We'll go next to John Baumgartner with Mizuho Securities. Please go ahead.
[speaker 3]: Good morning. Thanks for the question. Wanted to go back, Rob, to your some of your comments around strategy. And cyclical versus structural.
[speaker 5]: Over the years, Post has built this portfolio that's tilted more to value.
[speaker 3]: Whether it's cereal, pet food, the 8th Avenue business here again, And I mean, the value has held up well.
[speaker 5]: Against the macro over time. So it's been prudent. But I'm curious, given the headwinds now for lower middle income consumers, higher debt, SNAP reductions, and you're seeing the consistency from
[speaker 3]: the premium eggs. Does it maybe warrant more initiatives in terms of addressing premium products, higher income households? Just how do you think about that in terms of future M and A or organic innovation and the capacity
[speaker 5]: tilt the portfolio differently going forward?
[speaker 1]: I think I would disagree that the
[speaker 3]: around choice. the portfolio is built around value. I think the portfolio is built Because if you look at each line of we are in, have an array of price points. And that is true of eggs, cereal, potatoes. So that what we really like to do is appeal to the an array of consumers. And I think that the trends that you're focused you're raising rather than
[speaker 2]: dictating
[speaker 3]: the construct of the portfolio in total really dictate the direction of innovation. And I think in that context, it does suggest if we have the opportunity to do so to innovate more towards higher or middle income consumers. Okay. And then maybe just
[speaker 5]: building on that in the refrigerated retail business, thinking about some of the side dishes I think that's been an area where private label has been a little bit of challenge the last year two. As we look forward now, supply chain issues have been cleared away.
[speaker 3]: How do you think about investing in that business in terms of vehicle for innovation, you're hitting the convenience angle for consumers, expanding distribution growth,
[speaker 5]: Where does your plan sort of sit for that side dishes business going forward now? So John,
[speaker 3]: you've got a long history with us. So we went through a period of time when we first acquired the business that it was in private label and branded So to Rob's comment, we were participating up and down the value of that segment. At different price points. We went through a period of time when we did not have enough capacity to meet our branded demand So we exited private label so that we could focus on the brand In the meantime, some competitive private brand
[speaker 1]: products
[speaker 3]: got some traction And we have now gotten to the point where we have our capacity better aligned to the point where we have capacity that can meet both private label and branded
[speaker 4]: demand.
[speaker 3]: And because of that, we're choosing to pick and choose where we go, but to go after attractive private label opportunities in that in that category. While also maintaining the brand and continuing to invest in the brand. So the longer term or medium term goal in that category would be to to do exactly what Ross said play at the multiple price points not to be the omnipresent party in private label, but to be the party that wins where private label is most relevant at those retailers.
[speaker 1]: Got you.
[speaker 5]: Thanks, Jeff. Thanks, Rob.
[speaker 1]: Thank you.
[speaker 0]: Our last question comes from Carla Casella with JPMorgan. Please go ahead. Hi. We talked about a lot about the M and A as part of the strategy over the past. I'm just wondering how that environment looks today and if there are a lot of opportunities And then also if you're focused more on opportunities within any your key segments or would you add another leg to the stool?
[speaker 3]: We tend to be entirely optimistic on the last part of your question. I think in order to have a successful transaction, we obviously need a And I think with the multiples where they are today, we've seen some reluctance to transact And again, we don't necessarily look at M and A as an objective in and of itself. We look at it as something an allocation of capital choice that we can use compared to
[speaker 2]: buying our shares back or paying down debt.
[speaker 0]: Okay. And given the 8th Avenue is behind you, any on coming to market to refinance
[speaker 1]: some of the
[speaker 0]: the draw on the revolver that you used for 8th Avenue?
[speaker 4]: Yes. So we continue to monitor, Carlo, obviously, keep a close eye on that and the bond market, but we'll continue to look for the right pocket to do that.
[speaker 0]: Okay, great. Thank you. Thank you. This concludes today's question and answer session. As well as Post Holdings fourth quarter twenty twenty five earnings conference call and webcast. Please disconnect your line at this time. Have a wonderful day. Thank you.